Operator: Welcome to the SolarEdge Conference Call for the Fourth Quarter and Full Year Ended December 31st 2021. This call is being webcast live on the company's website at www.solaredge.com in the Investor section on the Event Calendar page. This call is the sole property and copyright of SolarEdge with all rights reserved and any recording, reproduction, or transmission of this call without the expressed written consent of SolarEdge is prohibited. You may listen to a webcast replay of this call by visiting the Event Calendar page of the SolarEdge Investor website. I would now like to turn the call over to Ms. Erica Mannion at Sapphire Investor Relations, Investor Relations for SolarEdge. Please go ahead ma'am.
Erica Mannion: Good afternoon. Thank you for joining us to discuss SolarEdge's operating results for the fourth quarter and full year ended December 31, 2021, as well as the company's outlook for the first quarter of 2022. With me today are Zvi Lando, Chief Executive Officer; and Ronen Faier, Chief Financial Officer. Zvi will begin with a brief review of the results for the fourth quarter and full year ended December 31, 2021. Ronen will review the financial results for the fourth quarter and full year, followed by the company's outlook for the first quarter of 2022. We will then open the call for questions. Please note that this call will include forward-looking statements that involve risks and uncertainties that could cause actual results to differ materially from management's current expectations. We encourage you to review the Safe Harbor statements contained in our press release and the slides published today for a more complete description. All material contained in the webcast is the sole property and copyright of SolarEdge Technologies with all rights reserved. Please note, this presentation describes certain non-GAAP measures, including non-GAAP net income and non-GAAP net diluted earnings per share, which are not measures prepared in accordance with US GAAP. The non-GAAP measures are presented in this presentation as we believe they provide investors with the means of evaluating and understanding how the company's management evaluates the company's operating performance. These non-GAAP measures should not be considered in isolation from, as substitutes for, or superior to financial measures prepared in accordance with US GAAP. Listeners who do not have a copy of the quarter ended September 30, 2021 press release or the supplemental materials, may obtain a copy by visiting the Investors section of the company's website.  Now, I will turn the call over to Zvi.
Zvi Lando: Thank you, Erica. Good afternoon and thank you all for joining us on our conference call today. We are pleased to report that we have concluded the quarter with record revenues of $552 million and record revenues for the year 2021 of just below $2 billion. During 2021, we released and began to ramp several new products like our Energy Bank residential battery and higher power optimizers and inverters in our residential and commercial offerings. In recent months, we are experiencing a surge in demand for these products which we attribute to the positive reception in the technology in parallel to market growth, spurred by electrical power prices increasing globally and the increased government and corporate focus on sustainability and use of renewable energy. We are excited about this rapidly growing opportunity and are intending to do everything needed to capitalize on it. However, in the current challenging operational and supply chain environment, expanding infrastructure and ramping production to meet these higher demand level is putting temporary pressure on our gross margins. In the call today, we will provide detail on all of these factors. I would like to start with a summary of 2021 and the main themes, which shaped the year and how we expect them to impact our business moving forward. Total revenues in 2021 grew 35% over the previous year, and 32% in the Solar business. Growth in the solar business was across all segments and regions, and practically in every country in which we operate. The larger year-over-year growth of significant size markets was in Italy, Germany, Taiwan, France, Poland and Israel. While we usually focus our comments on North America and Europe, which grew substantially this year, 29% and 36%, respectively, I want to shed some light on the long-term growth opportunities in Southeast Asia and the Middle East. In these markets, we grew in 2021 by more than 43%, representing not only market share gains, but also the high growth rate of these markets, which is expected to continue. In these countries, the market consists primarily of commercial installations and our momentum here is indicative of our overall momentum in commercial, which I'll be discussing later. Other noteworthy dynamics of 2021 include significant increase of battery attach rates in residential installations, which increased by more than 50%, most of which were third-party batteries sold by our partners, DC coupled to our inverters as our residential battery ramp was slower than we originally planned. Also, in residential, we are seeing growth of the average installation size and momentum in our sales of self-consumption devices such as EV chargers and smart water heaters, as consumers seek to optimize their home energy consumption and reduce their dependency on higher priced energy coming from the grid. In the area of grid services, we are now active in programs in 13 states across the United States, in all states in Australia and in some European countries. Also in 2021, we saw 70% increase in use of our designer software, which enables full system design, including advanced features such as shade analysis, battery usage and consumption optimization, bill of materials generation, financial analysis and automated creation of the offers to the end customer. More than 1.1 million unique site designs were performed by installers on this platform last year. Overall, we are pleased with the growth we have seen in 2021 and the progress we made with our strategic initiatives. Now turning to the fourth quarter results. As mentioned, revenues for the fourth quarter were a record $552 million, driven by North America, where revenue grew quarter-over-quarter by 37%, due to higher battery sales, increased residential inverter sales, in particular, of the higher priced Energy Hub inverter, and the growth of sales to the commercial segment. Moving to our global residential business where we continue to see strong demand, healthy inventory in our channels, increasing sellout by our distributors and a strong backlog of orders. In fact, we already have firm orders for delivery in 2022 of a megawatt volume that represents 60% of our megawatt residential shipments in the entire year of 2021, not including batteries. In commercial, we are seeing a real shift in market momentum driven by a few factors. The rising electricity crisis across Europe and other regions, as well as the trend of corporations wishing to progress their ESG programs and offset their carbon emissions. These together with a stable and favorable regulatory environment in many countries such as Germany where the new government has announced aggressive growth plans for PV, lay the ground for an increase of demand in markets where SolarEdge already has a solid local presence and strong brand awareness. At the same time, we are seeing increased acceptance of our commercial product offering released last year, which includes the Synergy 120-kilowatt inverter and high-power optimizers, supporting the high-power bifacial modules now commonly used in commercial installations. Combined, these market and product dynamics are driving the record demand for our commercial solutions, where our current megawatt firm order for delivery in 2022 are 143% of all commercial megawatts we shipped in 2021. While the increased backlog is partially related to longer lead times, the amount of planned projects and the increase in design wins, including for ground-mount projects demonstrates what we believe to be a true inflection point in the commercial market. Ramping production to meet this demand in the current supply chain and logistics environment is having an impact on our top and bottom line as we prioritize expedited shipments in order to meet customer schedules, at times at the expense of our gross margin. We expect this situation to last until the middle of the year as we adjust our infrastructure and ramp manufacturing capacity to this new level of demand. Moving to product updates. In the residential segment, we released last quarter the 10- and 11.6-kilowatt Energy Hub inverter with 10-kilowatt backup power and a new 3-phase EV charger to join the single-phase charger, we have been shipping for a couple of years. We are seeing strong demand for the EV charging portfolio, driven by the growing adoption of electric vehicles, in particular, in Europe. Our Energy Bank residential battery has now been installed in 11 countries. We are receiving positive customer feedback, in particular, related to the ease of installation with the new Energy net wireless communication technology incorporated in our residential offering. Our battery manufacturing ramp has been slower than anticipated due to delayed supply of several components used in our DC to DC and BMS boards. For most of these components, we have already qualified additional sources and we are working closely with suppliers to assure timely and consistent supply for the remainder of the year. In the fourth quarter, we shipped 42.5-megawatt hour of batteries versus the 70-megawatt hour plant. We plan to close this gap already in Q1 of 2022, reaching a production run rate of 300 Energy Bank batteries per day by end of the quarter, as we discussed in the last quarter's call. In Q1, we plan to ship between 100 to 120 megawatt hour of residential batteries. In the commercial and industrial segment, we continue to test our third 330-kilowatt large-scale inverter in sites in Israel and Europe. We are on track for ramp later this year, further strengthening our offering for ground mount installations. We will provide more detail on our ground mount offering as well as other new products and services in our Analyst Day scheduled for March 29. Moving to operational infrastructure and progress in that area. In Q1, we will begin to shift residential inverters and optimizers from the – for North American market from our new contract manufacturing facility in Mexico. We expect to be able to deliver practically all of the US residential demand from the Mexico factory by the end of the year. This will have a favorable effect on shipping costs, tariffs, working capital management and timely meeting the US demand and lead times. The commercial product manufacturing capacity will be expanded in two phases to meet the new growing level of demand, which I detailed earlier. We are increasing manufacturing capabilities in Vietnam for delivery of products to all regions, and that will be followed by additional manufacturing growth in Mexico to supply commercial products to the US market. The surge in demand is creating manufacturing capacity challenges and pressure across the supply chain, where we need our suppliers to allocate component quantities well above those supplied in previous years. We are working closely with our key suppliers who are supporting us in our usual growth as they too see the value in this long-term opportunity. Moving to our non-solar businesses. 2021 was a record revenue year for our non-solar businesses, totaling $176 million, coming mostly from our energy storage and e-Mobility division. Our energy storage division concluded the year with record revenues and was profitable for a second year in a row. Sella 2 construction for the manufacturing of our own lithium ion sales continues for plan and is expected to begin production ramp in the second quarter of 2022. In the e-Mobility division, we experienced some slowdown early in Q4 of 2021 due to our customers' temporary halt in production, which resumed to normal levels by the end of the fourth quarter. We expect normal levels of delivery in the first quarter and through the year. In our Critical Power Division, we started first shipments of our three-phase UPS offering, which was designed and productized in-house since the acquisition. We will elaborate more about these segments in our Analyst Meeting in March. To summarize, we are facing an accelerated growth opportunity in a challenging operational environment. As we have proven in the past, I am confident that our global team will excel in execution, ensuring our customers have the benefit of our technology when and where they need it. And with this, I will turn the call over to Ronen.
Ronen Faier: Thank you, Zvi, and good afternoon, everyone. This financial review includes a GAAP and non-GAAP discussion. Full reconciliation of the pro forma to GAAP results discussed on this call is available on our website and in the press release issued today. Segment profit is comprised of gross profit for the segment, less operating expenses that do not include amortization, stock-based compensation expenses and certain other items. Total revenues for the fourth quarter were a record $551.9 million, a 5% increase compared to $526.4 million last quarter, and a 54% increase compared to $358.1 million for the same quarter last year. Revenues from our solar segment were a record $502.7 million, a 5% increase compared to $476.8 million last quarter and a 54% increase compared to $327.1 million for the same quarter last year. Overall, this quarter, we shipped approximately 5.1 million power optimizers, approximately 197,000 inverters, and 4,250 batteries, representing 42.5-megawatt hour. US solar revenues this quarter were a record $257.4 million, a 36.6% increase from the last quarter and represented 5 1.2% of our solar revenues. Solar revenues from Europe were $193.2 million or 38.4% of our solar revenues, representing strong revenues in Germany, Netherlands, Italy, and Poland. Rest of the World solar revenues were $52.1 million or 10.4% of our total solar revenues and included a record revenue quarter in Taiwan. On a megawatt basis, we shipped 751 megawatts to the United States, 752 megawatts to Europe, and 419 megawatts to the rest of the world. 45% of shipments were commercial products and the remaining 55% were residential. ASP per watt, excluding battery revenues this quarter was $0.253, a 0.0.8% decrease from $0.255 last quarter, a result of a high volume of residential product shipments to North America, offset by an increased portion of large US customers that benefit from larger volume discount within the overall mix and the weaker euro, which reduced our ASP on products sold in Europe. This quarter, two US customers accounted for more than 10% of our solar revenues. In light of the increased costs associated with the manufacturing of our products and the accelerated ramp-up cost associated with meeting the surge in demand for our products, we have initiated price increases the fourth quarter of 2021 that will continue into the first half of 2022. These price increases vary among product lines and geographies, depending on the competitive environment, demand level, and specific cost increases related to specific products. The price increases are aimed at covering part of the component and manufacturing cost increases and are not focused on a more temporary logistic expenses, which relates to timely meeting increased customer demand. We expect the full impact of these price increases to materialize in the third quarter of 2022. This quarter, revenues from our non-solar businesses were $49.1 million. Revenues of our energy storage division achieved a record quarterly revenue, while our e-Mobility division revenues reflected lower delivery of powertrain units to the final customer, as explained by Zvi. Consolidated GAAP gross margin for the quarter was 29.1% compared to 32.8% in the prior quarter and 30.8% in the same quarter last year. Non-GAAP gross margin this quarter was 30.3% compared to 34% in the prior quarter and 32.5% in the same quarter last year. Gross margin for the solar segment was 32.8% compared to 36.6% in the prior quarter. Gross margin within the solar segment is affected by various factors, the combination of the following factors contributed to this result. From a customer geography and product mix perspective, high volumes were shipped this quarter to large customers in the United States that benefit from volume discounts, and this contributed to the lower margin. This was coupled with a weaker euro, which eroded our margins on sales in Europe since revenues are euro denominated, while manufacturing expenses are stated in US dollars. Lastly, the growing share of battery shipments that are characterized with lower gross margins further contributed to this margin decrease. From an operational and supply chain perspective, our accelerated growth combined with the non-industry challenges of component shortages, limited manufacturing output and constrained and expensive shipment environment continued to adversely affect our margin this quarter, while we are still recovering from the first shutdown of our Vietnam facilities that returned to normal operation in mid-November. In supply shortage period, component manufacturers tend to allocate goods among our customers based on past quantities. Given our current accelerated growth rate, some of our suppliers are having difficulties supplying sufficient component quantities in a timely manner. This has resulted in a need for expedited shipping goods shipments to meet the customer delivery times and in certain cases, payment of unutilized capacity to our contract manufacturers. As Zvi mentioned, our battery manufacturing suffered this quarter from delayed arrival of components, resulting in lower shipment volumes at a higher cost. Goods, subject to tariffs, shifting to the United States from China accounted for 66% of our US shipments in Q4. To summarize the solar segment margin discussion, we view the impact on inverters and optimizers margin as transitory and expect to return to our normal level in the second half of 2022. Gross margin for our nonsolar segment was 4.2% compared to 8.7% in the previous quarter, mostly related to reduction in e-Mobility revenues and margins. On a non-GAAP basis, operating expenses for the fourth quarter were $94.1 million or 17.1% of revenues compared to $83.8 million, or 15.9% of revenues in the prior quarter and $72.9 million or 20.4% of revenues for the same quarter last year. This increase is mainly related to the fact that we have reduced our hiring in the third quarter of 2021 and increased our head count again in Q4, mainly in our R&D and sales and marketing groups worldwide. This quarter, we also experienced a gradual increase in sales and marketing activities as travel restrictions due to the pandemic are starting to ease and trade show activity, as well as customer visits begin to return to normal. Our solar segment operating expenses as a percentage of solar revenues were 15.8% compared to 14.6% last quarter. Non-GAAP operating income for the quarter was $72.9 million compared to $95.2 million in the previous quarter and $43.5 million for the same period last year. This quarter, the solar segment generated operating profit of $85.3 million compared to an operating profit of $104.9 million last quarter. The nonsolar segment generated an operating loss of $12.4 million compared to an operating loss of $9.7 million in the previous quarter. Non-GAAP financial expense for the quarter was $2.2 million compared to a non-GAAP financial expense of $3 million in the previous quarter. Our non-GAAP tax expense was $7.9 million compared to $10.1 million in the previous quarter and $4.6 million for the same period last year. GAAP net income for the fourth quarter was $41 million compared to a GAAP net income of $53 million in the previous quarter and $17.7 million in the same quarter last year. Our non-GAAP net income was $62.8 million compared to a non-GAAP net income of $82.1 million in the previous quarter and $55.7 million in the same quarter last year. GAAP net diluted earnings per share was $0.74 for the fourth quarter compared to $0.96 in the previous quarter and $0.33 for the same quarter last year. Non-GAAP net diluted earnings per share was $1.10 compared to $1.45 in the previous quarter and $0.98 in the same quarter last year. Turning now to the balance sheet. As of December 31, 2021, cash, cash equivalent, bank deposits, restricted bank deposits and investments were $1.2 billion. Net of debt, cash, cash equivalents, bank deposits, restricted bank deposits and investments were $548 million. During the fourth quarter of 2021, we generated $89.6 million in cash from operations. Accounts receivable net increased this quarter to $456.3 million compared to $416.2 million last quarter. As of December 31, 2021, our inventory level, net of reserve, was at $380.1 million compared to $304.7 million in the prior quarter. Most of this increase is related to increased raw materials, battery cells and component inventory in our solar segment, while our finished good inventory continued to decrease as a result of the growing demand and limited capacity. Our non-solar inventory level remained practically similar to the previous quarter. Let's move now to summarize the full year of 2021. Revenues for the year was $1.96 billion, a 34.6% increase from $1.46 billion in calendar 2020. Revenues related to the solar segment were $1.79 billion or 32% increase compared to 2020. GAAP gross margin was 32% compared to 31.6% in the prior year. Non-GAAP gross margin was 33.5% compared to 33% in the prior year. GAAP net income for 2021 was $169.2 million, a 21% increase compared to $140.3 million in the previous year and GAAP diluted EPS of $3.06 compared to $2.66 in the prior year. Non-GAAP net income for 2021 was $272.9 million, a 22% increase compared to $224.4 million in 2020 and GAAP net diluted earnings per share of $4.81 compared to $4.11 in the prior year. This year, we generated $214.1 million of cash from operations. Turning to the guidance for the first quarter of 2022. The combination of strong demand for our products and the operational adjustments and efforts in fulfilling this growth within an environment of component constraints, fast manufacturing capacity expansion, which require higher investment, logistic constraints and high shipment charges as well as the expanded rapid growth of our battery shipments that are characterized with lower gross margin, will have a positive effect on our revenue growth rate for the entire year and will continue to put pressure on our gross margin in the first half of 2022. We expect this impact to be temporary and will be mitigated upon full ramp of our Mexico manufacturing, which is expected to be concluded by the end of the year. On an annual basis, we expect that revenue growth as well as the operational expense leverage will offset the temporary margin impact and will increase our overall expected profit levels. As such, for the first quarter of 2022, we are guiding revenues to be within the range of $615 million to $645 million. Revenues of the solar segment are expected to be within the range of $575 million and $595 million. We expect non-GAAP gross margin to be within the range of 28% to 30%. Gross margin of the solar segment is expected to be within the range of 30% to 32%. I will now turn the call over to the operator to open it up to questions. Operator, please?
Operator: Thank you, Mr. Speaker. [Operator Instructions] We will take the first question from Mr. Mark Strouse from JPMorgan. Your line is open. Please go ahead.
Mark Strouse: Yes. Thanks very much for taking our questions. Zvi, I just wanted to go back to your comments about you potentially seen an inflection point in the commercial market. Do you think -- just kind of looking out beyond your guidance a bit, but do you think 2022 becomes a year where we start to see the C&I business become the majority of your shipments? And then I'm trying to remember if you've ever disclosed the exact details, but can you just remind us kind of the difference in margins between the resi and the C&I business?
Zvi Lando: Hey, Mark, I'll take the first part, and then I'll hand it to Ronen for the second part. I think the answer is, from a megawatt perspective, is likely. The demand is such and the rate of increase is such that it is likely that from a megawatt shipment this year, we will ship more commercial. And I think also the word commercial is becoming limiting because of a significant part of this is already ground mount installations, in particular, in the US. So generally, these larger installations will be a larger portion of our megawatt shipments in 2022, I estimate at this point.
Ronen Faier: And Mark, with regards to the gross margins, I'll start with the qualitative and then I will move to the quantitative margin assumption. In general, you usually see that the gross margin for residential, I would say, is 200 to 500 basis points higher than what you see in commercial. And this is depending on, first of all, what is the residential offering? For example, is it an Energy Hub or is it a regular inverter? And also related to whether we are talking about large commercial or smaller So by definition here, the scenario very much changes, and this is before talking about geographical mix. So 200 to 500 basis points will be the quantitative answer. The qualitative answer, I think that what we need to understand is what is going to be the margin profile on our solar and inverters and optimizers. And here, actually, we expect that to towards the second half of the year, we will be back to our regular 35% to 37% gross margin for inverters and optimizers. Here, you actually see a little bit of this polarization. On one hand, we see residential, where the margin is expanding on the unit and sale. At the same time, we see the increasing volume of commercial installations and products sold that are characterized with lower margin. But all in all, they are stabilizing to this 35% to 37% margin range. So this is basically a mix issue. But the important thing is that, in general, we continue to see the general model that we used to describe in the past.
Mark Strouse: Okay, that's very helpful. Thank you. And then if I can just squeeze in one more. You mentioned pricing increases in 4Q and continuing in the first half Kind of based on the competitive dynamics in certain markets, just any more color there where you think you have the kind of the most pricing power, lease pricing power across products or geographies, whatever it might be?
Zvi Lando: I think it's -- the variation is by segment. And generally speaking, the commercial market is split, to a large extent, between lower-cost string inverters and our MLPE solution. And with the introduction of the larger inverters and the larger optimizers, we are able to bring the cost per watt on our MLPE configuration down a bit. And then it gives the people that still have the interest and motivation towards safety, module-level optimization, and monitoring the return on investment in order to prefer our solution over a string inverter. So, there the opportunities are relatively tight in terms of the ability to increase prices because it's a very cost-driven analysis and we are managing a defined gap and we are now at a point where we are able to, on large scale justify that gap, and that's what is increasing the demand. Generally, in residential, the opportunity is a bit bigger in that regard and even more in batteries under the current circumstances of shortages in the market and the favorable feedback that we're getting for our battery.
Mark Strouse: Okay, very helpful. Thank you.
Operator: We will take the next question from Brian Lee from Goldman Sachs. Your line is open. Please go ahead, sir.
Brian Lee: Yeah. Hey, guys. Good afternoon. Thanks for taking the questions. Maybe first one a follow-up on the gross margins. Just was wondering, you, Ronen, you're talking about getting back to 35% to 37% gross margin target for solar. Is that in the second half? Is that starting in Q3? Maybe if I could just clarify that. And then there's a roughly 500 basis point bridge between what you guided here for Q1 versus getting back to those targets. Can you kind of drill into some of the pieces? It sounds like freight, it sounds like some of the supply chain issues, but maybe give us the big piece is that bridge, the 500 basis points between this quarter and a couple from now. And I have a follow-up. Thanks.
Ronen Faier: Yes, of course. And I would like even to clarify more of the question or my answer before I detail. What we discussed is returning to normal on the 35% to 37% is on the inverters and optimizers and other batteries. Because if you remember, we discussed it, batteries will be approximately 25%. So let me, first of all, talk about the overall, I would call it, bridge to get back to the 35% to 37% on the optimizers and inverters, and I will then try to connect everything to the battery, okay? So in general, we see, I would say, five to six elements that will enable us to bridge from where we are today into Q3 and Q4. The first one is the fact that, once we are increasing our manufacturing capacity, and this means that we're adding Mexico and expanding Vietnam. As Zvi mentioned before, we have much more capacity that can be placed on both and ships and sent to the target without the need for expedited shipments, which are today extremely expensive, especially in the price environment that we see right now. So increased capacity means lower expedited shipments and much more regular shipments, this by itself contributes a few hundreds of basis points to the margin. The second one is Mexico as a site by itself, because not only it contributes for the additional capacity, it also means that now we can eliminate, first of all, increased tariffs that we pay today. As we said on the prepared commentary, 66% of the product that we brought to the US in Q4 were subject to tariffs, and this amount will be reduced as we are – as Vietnam is back, but most likely when Mexico is down. So this will dramatically reduce the expenses, plus the fact that we will not be needing the ocean freight, which is today, again, very expensive compared to land – lens rate. The next thing will be the price increases that we have implemented. We usually implement price increases on new orders. And that means that, most of the price increases that we're implementing, because of the lengthening period, or a lead time period is taking time until they kick into the system, and we expect to see all of them materializing in Q3. We also have a few more issues that will help in general. The first one is that, today on the batteries, and this is already now related to the solar segment, not necessarily on inverters and optimizers, we're using the Samsung energy sales from our 1-gigawatt deal. Once we have seller to towards the end of the year, sales that will be manufactured by our Korean part of the storage division will allow us to reduce this cost. The scale because of the very high revenue that we will see our revenue growth that we will see. The scale of our fixed costs will become lower and eventually, eventually, we will see, of course, a continued increase in the other nonsolar segments that will actually push us again is not related to solar. So in the Analyst Day, we will basically layer all of this and we will provide how everything is impacting. But to summarize, yes, we will see solar inverters and optimizers go to 35%, 37%. Batteries stay at about 25%. And now the portion of batteries to solar inverters and optimizers will very much determine the end result of the solar segment, and all of the other factors will increase margins in general for solar and non-solar. I hope that it answered your question, Brian.
Brian Lee: Yes. That's super detailed and helpful context. I guess related to that last piece, the solar and the storage ratio. I know the battery ramp sounds like it's a little bit behind schedule, but there's a big acceleration here implied in Q1. Can you give us a sense of kind of what we should expect going forward in terms of the battery ramp? Because you got the SDI volume, but then you also have sell to coming online in Q2 and I would expect that to add some volume in the back half of the year. So just any sense on the battery ramp we should expect off the Q1 acceleration? And then in terms of mix for batteries, US versus non-US, are you shipping it all into the channel, or are you seeing direct to on demand, just any sense of kind of where you're seeing that $100 million to $120 million for Q1?
Ronen Faier: Okay. So first of all, from the revenues and the growth of the battery, we need to remember that 2021, we first of all utilized the Samsung deal that we have. And this means that, at least in the first quarter as we mentioned, we already guided for 100 to 120 megawatt. And by that, the end of this quarter, we will be at approximately 180-megawatt run rate per quarter. We will continue to ramp these manufacturing capabilities in Q2, where at the end of Q2, we would reach 250-megawatt hour per quarter. And this is actually the run rate of sales that we have from Samsung, and we expect to run in this rate for Q3 and Q4. The sales from Kokam and the ramp-up of the manufacturing based on this one will be dependent on 2 major items. The first one is demand again that we will see in the market and assuming that, of course, it can consummate all of the 250 megawatt. And here, the second element will be really seller tool will just start to ramp, as we said, with test runs in the second half and – sorry, in the second quarter and in the second half, we will start to ramp up the manufacturing.  And here, I would say that the manufacturing pace will very much determine what will be the additional volume that we should bring. So play it safe, I would say, about 250 megawatts from Q3 and forward. And there is an upside coming from the additional Sella 2, and this will guide, of course, as we will move and we'll have much more certainty Sella 2. I'll move to Zvi for the second geographic mix.
Zvi Lando: Yes. today, we're kind of shipping probably 50%, 50% to North America and to Europe, prioritizing customers that we believe have a potential for consistent large volumes overtime. And while there's a huge opportunity also for retrofit of batteries on existing systems, we're making sure that the batteries that we're shipping today are such that they bring a full solar installation with them. And as capacity grows, we'll start making batteries available also for retrofit on existing systems.
Brian Lee: All right. Thanks guys. I’ll pass it on.
Zvi Lando: Okay. Thank you.
Ronen Faier: Thank you.
Operator: We will take the next question from Mr. Stephen Byrd from Morgan Stanley. Your line is open. Please go ahead, sir.
Stephen Byrd: Hey, thanks so much for taking my questions. A lot of my questions on the results have been addressed. I was thinking more about evolution of your technology and thinking about developments around the integrated home and in smart energy management. Are there technology developments that we should be thinking about in the future for you? Are there areas where you feel like you need to acquire capabilities outside of sort of organic capabilities there? I'm just curious if you could just speak a little bit more to the evolution on the technology side, especially sort of the idea around the integrated home and just continued evolution there?
Zvi Lando: Yes, it's a good question. And obviously, it would require a long answer, which is, we intend to at least try and give in the Analyst Day at the end of March. But that said, and maybe as an appetizer, we are focused on really expanding our technologies and capabilities that everything that has to do with generation storage and consumption of electrical power generated from renewable sources. So with that being the overriding vision, from a technology point of view, to deliver on that, there are technology areas where are not our core strength today that we are gradually building capability in as well. But again, hopefully, in much more detail at the Analyst Day, we can share more on this topic.
Stephen Byrd: Yes, very fair. It's a big topic that is better suited for the Investor event. I guess stepping -- this is another big picture, I guess, question. But just thinking about demand for storage, it's very clear, storage demand is skyrocketing globally, and you're well positioned there. You've talked a lot about expansion. And just, I guess, longer-term, as we think about that potential, how do you think about the best approach to growing your capacity, whether it's in terms of geographic mix, whether it's contracted capacity versus in-house manufacturing? Just it feels like this is a -- there's a long runway ahead, a lot of growth, but that also means a lot of planning in terms of how you approach having the capacity. And this is all, as you described in an environment of pretty severe supply chain dynamics. So how do you think about kind of longer-term growth strategy to meet this rapidly growing demand for storage?
Zvi Lando: Again, a good, big question. Maybe two comments. First of all, I think what we are learning and experiencing in the residential environment, that while people talk a lot about the batteries and compare one to each other, it is really the system integration and the system performance that is determining the actual value for the -- in this case, of residential the consumer. And we expect that storage attach rates will increase also in commercial, and we are seeing already signs for that in Europe and in North America.. And we believe that there, too, the issue will be, yes, the battery parameters and the comparison of cost and cycles and the typical parameters in which people compare batteries to each other, but really what will determine the value for the user, whether it's residential or commercial, is the way the system is integrated and operates and serves the need that they have, whether it's backup power, self-consumption, or a combination of both. So, that is where we're focused on, and that is at the core of our motivation to have access to -- from the cell -- the technology at the level of the cell to the full system solution. But that doesn't necessarily mean that we will have in-house capacity to deliver on all of the demand. It just means that we will be able to optimize a complete solution from cell to the system and have flexibility to meet some or most of the capacity of our -- on our own and maybe supplement that from others. So, that's kind of a high level the way we're looking at it. I hope that, that helps explain it.
Stephen Byrd: Yes, that’s helpful. Thank you very much.
Operator: The next question is from Julien Dumoulin-Smith from Bank of America. Your line is open, please go ahead.
Julien Dumoulin-Smith: Hey good afternoon team. Thanks for the opportunity. Just going to pick up where we see left off here. Can you talk specifically about storage supply ramp going into 2023 here? Just as best I understand as the Samsung deal is transient, how do you think about, not just complementing, but supplementing it and expanding that availability into 2023. You talked about a $250 million run rate here. What could that 2023 number look like? And how are you thinking about providing data points to ramp into that here?
Ronen Faier: So, first of all, I will divide the ability to grow in 2023 into two. The first one is everything that we get from Sella 2. Sella 2 capacity -- initial capacity designed for two gigawatt hour annually. And of course, we can take this entire amount in directed, if needed for storage in 2023. But actually, we can substantially increase the capacity of Sella 2 within a matter of several months, not even a year to almost double this amount. So, that means that once we will see the Samsung SDI capacity being consumed and we will understand what are the -- I would call it, stabilized level of demand, we will decide whether to make the investment in Sella 2 actually in advance of 2023 in order to open the year with a higher capacity. So, this is one thing. The second thing is the fact that our strategy has been from the very beginning, not to be dependent necessarily only on one battery. And therefore, we can always try to team or get more capacity from Samsung, should we see that the demand is so big that higher capacity is needed. Of course, we'll always try to take whatever we can, first of all, from Sella 2, both from pricing and of course, because of economies of scale. But in general, with a little bit of preparation, we believe that 500 megawatt-hour per quarter is relatively easy. I would say, almost double this amount with some work is not very complicated and going to Samsung and get more is something that is feasible.
Julien Dumoulin-Smith: Got it. So $500 is not the commitment on 2023, but that sounds like at least an outline of where you can go? .
Ronen Faier: Yes.
Zvi Lando: Yeah.
Julien Dumoulin-Smith: Okay. Great. And then just related here to the component shortage, can you elaborate a little bit more on the strategy here? Just obviously, you had some very specific acute shortages in 4Q. Sort of – strategy to address it broadly, if you can, 1Q specifically and onwards. I know, you addressed it somewhat in the call comments.
Zvi Lando: Yeah. I think if you recall, especially at the beginning of the season of shortages, we were – we were relatively in a very good position because we were prepared also with inventories and also with alternatives on most of the critical components that we were using, and that enabled us to – to execute with less constraint for the first three or four quarters of the period. We're now facing more constraints and a bigger challenge just primarily just because of the elevated volumes and people's they tell us you're getting – your allocation is what it was or one 1.5x what it was you should be happy. But that doesn't make us happy because we need 2 or 3x of the volumes that we consumed in the past. Now that's the challenging side. The positive side is that, we are becoming a much bigger portion of our suppliers' business, and we did – and we are consolidating into some specific larger component suppliers, such that on one end, we're more dependent on them. On the other hand, they are dependent or our business is more critical to them, and they are – and they are bigger and more reliable suppliers. So we're in the process of doing that and in cooperation with some of these big suppliers. And that's giving us reasonable visibility but not complete visibility and there could be still hiccups along the way, and those hiccups usually translate into some type of expedited shipments in one form or another. But generally, we are consolidating into larger suppliers and being a bigger part of their business. And gradually, especially on the new products, also building the alternatives in order not to be dependent on any specific component in any of our products. But this is a process again, it will likely have some hiccups along the way.
Julien Dumoulin-Smith: Right. Hence, your comments for back half of the year to normalize, is that in line with the timing that you're thinking about there?
Zvi Lando: Again, hence, the...
Julien Dumoulin-Smith: For the back half of the year for margins to normalize, that assumes that those hiccups to get – to move past that, if you will, and to ramp with those larger suppliers?
Zvi Lando: Yeah, that's part of it. And for sure, the big suppliers that we're working with, we have their capacity plans and know when their new fabs are coming online, and that's aligned with that. But at the same time, we still have a lot of components coming from other manufacturers. And it's not that, I'm saying with full confidence that in the second half of the year, we won't be experiencing challenges and hiccups in these areas, it's just that the bigger portion of our component supply will be more secure in the second half of the year.
Julien Dumoulin-Smith: Thank you, guys.
Zvi Lando: Thank you.
Operator: The next question is from Mr. Philip Shen from Roth Capital Partners. Your line is open. Please go ahead. 
Philip Shen: Hi, everyone. Thanks for taking my questions. A follow-up on the storage megawatt hours. I think you talked about 42-megawatt hours recognized in Q4 or at least shipped. Can you talk to us about how many megawatt hours was recognized in revenue in Q4? And then of the 100- to 120-megawatt hours expected in Q1 shipped, how much do you think you could recognize in revenue in Q1? Thanks.
Ronen Faier: We generally do not give this data simply due to the fact that the shift to revenue may sometimes change simply based on the destination of where you're shipping. I would say that you should assume that generally at this point of time, the majority of what you ship becomes revenue relatively quickly due to the fact that you either ship to Europe or you're trying to time the shipping in a way that shipping to the US will go out from Europe manufacturing at the beginning of the quarter. So, I would say that here, there is almost a similarity, although, of course, shipment is always larger than revenue. In the future and in Q1, we specifically cannot tell simply because of the fact that we do not know what will get to the customers as that at what point of time. So, it will be down. It will be lower revenue than shipments, but I think that that's the most what we can say right now.
Philip Shen: Okay. Thanks for that. As it relates to the battery supply chain dynamics, as you ramp up to the much larger numbers in the back half of the year, do you see any bottlenecks as it relates to lithium or any other raw materials? And if so, how are you addressing that? Thanks.
Ronen Faier: So let's divide between battery cells and the electronics around it. On battery cells, we are still very much secured, and Samsung is very organized and for its price on their supply of battery cells. So here, we don't see a major issue. I think that, as Zvi mentioned on the electronic components, here, we believe that we resolved at least for the near future, the problem that we saw before, and we are in a very good contact with the suppliers here. But again, sometimes simply, these kind of delays are not in our hands, and we cannot actually forecast them. Hence, the miss in this 4Q had we known that we would not even guide for the number that we had. So I think that we are in good alignment with our vendors. But as Zvi mentioned, there are surprises that are happening from time to time. Sometimes the suppliers themselves do not control all of it.
Philip Shen: Okay. Thank you.
Operator: Your next question is from Mr. Maheep Mandloi from Credit Suisse. Please go ahead, sir. Your line is open.
Maheep Mandloi: Hey thanks for taking those questions here. In terms of the Sella 2 expansion, can you just talk about how much of raw material supply visibility do you have for that? And specifically, just looking at the lithium carbonate nickel prices kind of like increasing here versus last year. So I just wanted to understand your sourcing strategy for that. And how do you think about like expansion beyond '22 for Sella 2? Thanks.
Ronen Faier: So in general, first of all, the raw materials for battery manufacturing is a little bit more predictable than electronic components simply given the fact that once you have developed the battery cell and the underlying cathode, anode material and the electrolyte, you're basically locked. So in a sense, you do not even complete the development of a cell before you have a viable source and known source for all of this product, and this is the case of Sella 2. I would say that in Sella 2, we do not expect to see issues related to the quantities, which are there. Actually, most of the issues is related to pricing, because the price of all of these materials is related to the London Materials Index. And here, this is the place where you can see a little bit of variation. So, as long as we see and as in continuation to the answer to Julien, approximately 500-megawatt hour per quarter heading into 2023, this is something that we can cover with raw materials, we believe that we can also cover the expansion that we said can be almost doubled within a period of time, because you still need to invest a little bit in the factory itself.
Operator: Next question from Mr. Colin Rusch from Oppenheimer. Please go ahead, sir. Your line is open.
Colin Rusch: Thank you so much. Can you talk a little bit about the channel inventories and where you're at? And how you see that gain refills over the course of the year, I mean, just in terms of order of magnitude and cadence?
Zvi Lando : So I -- we heard the first part. So, generally, inventory levels, I would separate between residential and commercial and a bit between regions. Inventory levels for residential products are relatively healthy in most places in the channel maybe a little bit lower than distributors typically like to have, especially on the newly released larger single-phase inverters, the 10 and 11-kilowatt inverter is probably below normal inventory levels that distributors desire, but still I don't think there is -- we're not experiencing shortages at this time on residential product either in Europe or in the US. On commercial products, I think inventory levels in the US -- inventory levels on commercial products are tight everywhere for the reasons that we described before, the demand is super strong, and our capacity is not yet there to fulfill it fully with inventory levels on top of the project demand. So we accelerate shipments and airship and these are large volume product and that's where the costs are coming from. So on C&I inventory, levels are low, and they're probably in a lower in Europe and Asia, Australia compared to the US where they're a bit better.
Colin Rusch: And that's awful. And then…
Zvi Lando: What was the second part?
Colin Rusch: It was just around the cadence of how the channel inventory gets refilled. But so if you could make a couple of comments on that, and then I have a follow-up.
Zvi Lando: So, unfortunately, we're still in a bit of a non smooth flow that started with the Vietnam shutdown and expanded into Chinese New Year for the last few weeks that obviously affects not only China manufacturing, but also Vietnam manufacturing. So the last few months have been more of a pulse supply and less of a continuous flow. Now, we hope that after factories are back to normal operation with the conclusion of Chinese New Year, that we don't have any more post events in the next few months and then flow is going to be much more smooth and more simple to forecast and manage inventories.
Operator: We'll take the next question from J.B. Lowe from Citi. Please go ahead, your line is open.
John Lowe: Hey good afternoon Zvi, Ronen, Erica. I hope you guys are doing well. My first question is a little bit more detail. Just on the Mexico contract manufacturing facility, you had mentioned that it would be online by the end of the year. I think you had initially said that you would be able to ship some of the first product out of there in the first half. So, I'm just wondering if that's not the case anymore. And then my second part of it was, given how much you've already booked on the commercial side, for 2022, I think you said it was over 130% of your 2021 shipments booked already. How much more time do you have? How many -- how much more can you book this year, or what timeframe can you book commercial product and still have it delivered before the end of 2022? Thanks.
Zvi Lando: Yes. So, just to clarify on the first part, what we said was we are beginning to deliver products from Mexico to the US in this quarter already in Q1. What we said by the end of the year is to reach a point where all of the residential product -- or almost all of the residential product consumed by the US market will be coming from Mexico. So, this is a process that is starting now and will end by the end of the year. But already in the first quarter, there will be meaningful shipments of inverters and optimizers from Mexico to the US market. So, that's on the first the first part of the question. The second part of the question, the dynamics -- first of all, we are taking orders today in commercial for July, August and on pretty much. The dynamic in C&I is a little bit different. The design phase is longer, and that's part of the reason we're now we are expediting shipments because customers have trusted our offering and designed in our portfolio a few months ago, and now they need the equipment to execute those projects. And in many cases, that is the first time that they're using our products after they've been able to be buy into the technology, and that's why it's so critical for us to support them, even at the expense of the expedited shipments. So, that timeframe is typically, it can range anywhere from three, four, or five months between design in and when the product is actually needed. So, the lead-times that we're giving right now and we're still taking orders for July, August is a bit longer than the design cycle, but still reasonable to give customers the confidence that they can continue to design us in at the rate that they have been recently.
Operator: We'll take the next question from Kasope Harrison from Piper Sandler. Your line is open, please go ahead.
Kasope Harrison: Good afternoon. Thank you for taking my questions. So my questions are all on Sella 2. So with respect to the second half of the year, if for whatever reason, there's not enough demand on the residential side for Sella 2 – or for batteries powered by Sella 2, how easy is it? And is there enough demand for you to redirect that capacity to non-residential segments. And then, Ronen, I was just wondering if you could just help us think about the difference in returns associated with building capacity like you did with Sell 2 versus buying capacity like you did with Samsung SDI using whatever preferred metric you want to use? Thank you.
Ronen Faier: Okay. So I'll start with the capacity. So first of all, our storage division has sales of storage products that are independent of the solar residential battery, of course. So by definition, we can take – and by the way, we plan to take capacity from Sella 2 into this area as well. We simply, of course, prioritize the solar-related business rather the non-related business, but we believe that the capacity is there, and it's enough. So yes, if we do not see that, there is enough capacity coming from Sella 2, first of all, we need – or for Sella 2, we need to consume the amount from Samsung, because this is a contractual obligation, and we will direct the excess capacity to the other sources. And here, we can actually either sell them as battery sales or as packed products. And our storage division have both and tech deliveries, we, of course, prefer to sell everything as a pack rather than in a cell, because in this case, we have better margins. And of course, we have a better ASP per watt hour. So in general, we can take this and we can divert, not maybe 100% of this capacity, but still enough to make Sell 2 operating and able to grow. When it comes to the return on the investment, this is a little bit more tricky because, first of all, again, the question is what are you – are you using the factory for? And whether you use it for more tax or more cells that you're selling? In general, I would say that the way the metric that we have used is returned on capital investment. And I can tell you that our return on investment on Sella 2 compared to the buy option, and this is before taking the fact that you get certainty on the number of cells that you can get and the capacity that you can get was a multiple, I would say, single digit – low single digit of years for return on the investment of Sella 2 compared to buying from other sources. So we view it as an extremely attractive ROI model.
Operator: We will take the next question from Biju Perincheril from Susquehanna. Your line is open. Please go ahead.
Biju Perincheril: Hi. Good afternoon. Thanks for taking my question. Maybe one more question on the long-term battery demand. As you sort of see the surge in commercial demand for inverters, what's the range you get from those customers for their appetite for storage products? Could this be an avenue for the additional capacity from Sella 2?
Zvi Lando: So I'll separate the answer to two, and I addressed it a bit earlier. We see the commercial storage dynamic repeating in the way the residential storage dynamic, just a few years later and maybe a slightly slower evolution. But we definitely expect it to come, and there are already early signs of it today. And for the same motivations and reasons whether it is continuity of power supply in areas of grid instability or controlling demand charges or increasing self-consumption in order to save on the pricing coming from the grid. We have a large solar installation on Sella 1 factory here in Israel, and we will put a large installation in Sella 2 and in both cases for economic reasons. When will we add storage? It's probably depending on the region, probably a couple of years out still before attach rates begin to be double-digit on commercial installations. And by that time, capacity from Sella 2 or by then from a additional expansions that we will do is definitely what we have in mind and where we are aiming to go.
Operator: Your next question is from Mr. Michael Blum from Wells Fargo. Your line is open. Please go ahead. 
Michael Blum: Thanks for taking my question. A little bit of a high-level question, I guess. I know NEM 3.0 in California is not finalized yet, but I wanted to get your views on how this and similar changes in other states here could impact demand of the US market? And how does that impact your long-term thinking on sales trends to the US versus Europe and rest of the world? Thanks.
Zvi Lando: Yes. I think the latter part of your question is very valid to the first part. We are and we have been operating in Europe and other places in the world for a very long time. And if you look at some of the countries in Europe, their regulatory environment is very -- it's very similar, but it has some similar characteristics to what was intended in the original NEM 3 proposal. And then it turns into a self-consumption market with much, much higher battery attach rate. As you see today in Germany, battery attach rates are 70% to 80% and a much stronger demand for cell consumption, enhancing components like solar-driven water heaters, EV chargers, smart switches and other elements. So this is already the environment we live in, in Germany and some of the other European countries. And if that is the direction that eventually California takes we believe the market will be similar. Maybe bigger, maybe smaller, but the same time, installations will be call it, complex, expensive, technological because of the potential return through self-consumption. So overall, it will change the characteristics of the market, but we don't think it will erase the market. And we think actually ourselves that we're pretty ready and familiar with that type of environment if and when it comes to the US.
Operator: The next question is from Mr. Ameet Thakkar from BMO Capital Markets. Please go ahead, sir. Your line is open.
Ameet Thakkar: Hi. Thank you for taking my questions. I just wanted to follow-up on the prior question real quick. And can you give us a sense for kind of the percentage of your 2021 revenues that were from California residential markets?
Zvi Lando: I don't have the exact numbers in front of me. It is -- US was -- typically is around 40%, 50% of our revenue. And then in the US, it's made of residential and commercial, and then residential is split across many states, with California being the larger one. So I would venture to say that it's a significant number in the double-digit range, but probably in the lower double-digit as a result of the fact that it's a part of our global business, both geographically and segmental.
Operator: It appears that there are no further questions at this time. I'd like to turn the conference back to Mr. Zvi Lando for any additional or closing remarks. Please go ahead, sir.
Zvi Lando: Yes. Thank you. So in summary, we concluded an operationally challenging yet positive year on all fronts with record revenue, all of this while continuing to invest in laying the ground for future growth and expansion into adjacent markets, the first of which we are already beginning to see today. Thank you all for joining our call today, and have a good rest of the week.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.